Operator: Good morning, and welcome to Reed's First Quarter 2025 Earnings Conference Call for the three months ended March 31, 2025. My name is Angeline, and I will be your conference call operator for today. We have prepared remarks from Cyril Wallace, Reed's Chief Executive Officer; and Doug McCurdy, Reed's Chief Financial Officer. Following their remarks, they will take your questions. Before we begin, please take note of the company's cautionary statement. Today's call will include forward-looking statements, including statements about Reed's business plans. Forward-looking statements inherently involve risks and uncertainties and only reflect management's view as of today, May 14, 2025, and the company is under no obligation to update them. When discussing results, the presenters may refer to non-GAAP measures, which exclude certain items from reported results. Please refer to Reed's first quarter 2025 earnings release on Reed's investor website at investor.reedsinc.com, and its Quarterly Report on Form 10-Q for the period ended March 31, 2025 expected to be available on the website soon. For definitions and reconciliations of non-GAAP measures and additional information regarding results, including a discussion of factors that could cause actual results to materially differ from forward-looking statements. I will now turn the call over to Mr. Wallace. Please go ahead.
Cyril Wallace: Thank you, operator and good morning, everyone. We appreciate you joining us today to discuss our first quarter 2025 results. I would like to begin by expressing how honored I am to address our shareholders and prospective investors for the first time as the new CEO of Reed. While I'm still early in the stages of shaping our long-term strategy and vision, I've been incredibly encouraged by what I've seen so far. I'm excited to collaborate closely with Doug and the rest of the leadership team, as we work to drive sustainable growth and profitability. I would also like to take this opportunity to personally thank Norman for his years of leadership. His efforts have laid the foundation for the improvements we are building upon today. During the first quarter, we began to make meaningful progress across key operational areas, driven by the strategic initiatives implemented over the past year as well as the recent strengthening of our balance sheet. In December, we closed a $10 million private placement, which has provided the necessary capital to execute our plans. We began deploying these funds in mid-January to improve our inventory position, reinvest in personnel, double down on our sales and marketing efforts. Inventory constraints have been leading our ability to fully meet retail demand for some time now. However, this capital infusion has enabled us to invest in inventory and materially improve fulfillment rates. As a result, short shipments, which were approximately 20% at the start of the quarter were reduced to under 2% by April. This operational progress goes beyond improved inventory levels. It reflects a fundamental shift in how we operate. For the first time in years, production is keeping pace with sales, enabling us to proactively meet demand rather than react to it. These fulfillment improvements have also been supported by better cross-functional collaboration among sales and operations teams, tighter forecasting and more deliberate planning. These foundational improvements enhance our ability to serve customers and meet growing retail demand, laying the groundwork for expanded distribution and sustained growth. Subsequent to quarter end, we appointed Ruud Bakker, to our Board of Directors. Ruud brings more than 25 years of global leadership experience across the beverage industry including senior roles at Red Bull, Diageo and Heineken. He has led market expansion efforts, brand revitalization initiatives and innovation strategies across both emerging and developed markets. We believe his expertise will enhance our ability to create value for both shareholders and customers going forward. In addition to our operational leadership update, we expanded our portfolio with the launch of a new multifunctional soda line. This innovative line of combined Reed's signature bold flavors with functional ingredients such as organic ginger, prebiotic fiber and adaptogenic mushrooms. Varieties include Berry Bubbly, Strawberry Vanilla, Lemongrass Ginger and a functional Root Beer. It represents a natural extension of our better-for-you portfolio and positions us at the forefront of the Baltic beverage market. We secured national distribution in Sprouts Farmers Market and are actively executing resets for all four Reed's functional SKUs across several major retailers including Kroger, Giant Carlisle, Hannaford and Duane Reade. While we are excited about the early traction of our new functional soda line, we are taking a thoughtful measured approach to innovation, one that prioritizes our deep heritage and better-for-you beverages with a strong brand credibility with our retail partners. We view functional beverages including those formulated with probiotics as a longer-term growth driver. Several initiatives are already underway, but broader rollout and retail traction for these newer formulations will ramp gradually. Turning to our core product sales. We expanded our presence at Albertsons Safeway for Reed's Ginger Ale, adding over 1100 new points of distribution. In addition, we successfully launched a national offshore program with Flying Cauldron at Albertsons. The program not only exceeded our internal projections, but also outperform retail expectations. Based on this strong initial feedback, we believe will be included in additional secondary merchandising events later this year. At Sprouts Farmers Market, we executed national deployed programs across our core Reed and Virgil product lines, further strengthening our visibility. With the addition of five new SKUs this year, Sprouts continues to play a pivotal role in the evolution of our brand and is a key partner in our broader growth strategy. We also launched a classic meal in Costco locations across California and Hawaii. Early results have been encouraging and we believe Costco will continue to expand the Reed portfolio over the course of the year. For our Virgil's line, we've added three new SKUs of our fan-favorite handcrafted cans to Giant Carlisle. Additionally, we gained distribution in three states at Trader Joe's for our classic new alcohol products. These distribution gains reflect the growing demand across our core, functional and alcohol portfolios and we believe they will contribute meaningfully to our top line performance in the quarters ahead. Now turning to our first quarter operational highlights. Throughout the quarter we remain focused on executing targeted supply chain optimization initiatives, which are now delivering measurable benefits across the business. These efforts include a more accurate forecasting, deepened co-packing partnerships, improved input pricing and a more efficient distribution model. We maintained gross margins in the mid-30% range during the quarter driven by improvements in our ginger beer formulation, more favorable pricing on key ingredients and ongoing supply chain efficiencies. While we have had minimal direct exposure to tariffs, we continue to monitor the evolving trade dynamics closely particularly regarding ginger and packaging materials. To date, the impact from tariffs on our supply chain has been limited, as most of our sourcing is diversified across Central America and other regions outside of China. However, given the volatility in the global trade policy, we are actively evaluating alternative suppliers and sourcing strategies to mitigate potential disruptions or cost pressures. Additionally, our ongoing transition from glass bottles to cans across both Reed's and Virgil's portfolios remains on track and has been well received by both retailers and consumers. This packaging shift enhances our cost structure and supports a more scalable and efficient go-to-market strategy. In the second quarter, we do expect some modest gross margin pressure due to seasonal promotion activity and higher trade ban particularly tied to the launch of the functional beverage line. However, these investments are aligned with our broader growth strategy and we'll remain focused on generating strong margins in the back half of the year. With this improved foundation in place, we are well positioned to drive stronger sales performance in the second quarter. Our enhanced inventory levels are enabling us to consistently meet customer demand support improved service levels and reduced freight inefficiencies. In addition, better in-stock availability is allowing us to execute more effective promotional programs and regain shelf space and accounts impacted by last year's supply constraints. Looking ahead, I'm excited by the opportunity to lead Reed at such a pivotal moment. We are laying the groundwork for sustainable growth backed by a more reliable supply chain, improved fulfillment rates and a sharpen focus on our core business. While we continue to refine our long-term strategy, our immediate priority is execution. I'm confident that our commitment to delivering premium better-for-you beverages will continue to resonate with consumers and drive long-term value for our shareholders. Before wrapping up with closing remarks, our CFO, Doug will cover financial highlights for the quarter in more detail. Doug, over to you.
Doug McCurdy: Thank you, Cyril. Turning to our results. All variance commentary is on a year-over-year basis unless otherwise noted. Net sales for the first quarter of 2025 increased 4.5% to $10 million compared to $9.6 million in the year ago quarter. The increase was primarily driven by higher volumes, with recurring national customers, particularly through favorable secondary display opportunities. Gross margin -- I'm sorry gross profit for first quarter 2025 was flat at $3.4 million compared to the year ago period. Gross margin was 33.9% compared to 35.6% in the year-ago quarter. The decrease in gross margin was primarily driven by higher cost of goods sold, as we increased operating capacity and inventory amount to more effectively fulfill customer demand. Delivery and handling costs were $1.6 million during the first quarter of 2025, compared to $1.5 million in the first quarter of 2024. Delivery and handling costs were 16.2% of net sales or $3.13 per case compared to 15.7% of net sales or $3.01 per case during the same period last year. Selling, general and administrative costs were $3.5 million during the first quarter of 2025 compared to $2.6 million in the year ago quarter. The increase in SG&A was primarily driven by investment in people, marketing and related services to support growth initiatives. Altogether, operating expenses were $5.1 million compared to $4.1 million in the year ago period. Operating loss during the first quarter of 2025 was $1.7 million or negative $0.04 per share compared to $0.7 million or negative $0.16 per share in the first quarter of 2024. Modified EBITDA loss was $1.6 million in the first quarter of 2025, compared to $0.4 million in the first quarter of 2024. For the first quarter of 2025, we used approximately $5.4 million of cash from operating activities compared to cash used of $2.4 million for the same period in 2024. This increase was primarily driven by higher inventory purchases as we ramped production to support improved fulfillment rates and anticipated demand. As of March 31, 2025, we had approximately $4.9 million of cash and $9.6 million of total debt net capitalized financing fees. This compares to $10.4 million of cash and $9.6 million of total debt net of capitalized financing fees at December 31, 2024. I will now turn the call back to Cyril for closing remarks.
Cyril Wallace: Thanks, Doug. While I'm still early in my tenure, I'm encouraged by the operational improvements being made and the strong alignment I've seen across the team. We are building momentum across our core and emerging product lines, restoring the trust of our key partners and laying the groundwork for profitable growth. I'm optimistic about the opportunities ahead and I look forward to updating you on our progress in the quarters to come. With that, operator, we're ready to open up the line for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Sean McGowan with ROTH Capital Partners. Please go ahead.
Sean McGowan: Good morning, Doug. I have a couple of questions. Operating expenses, those were higher than we had expected. It's the first time in a while that we've seen lines like delivery and sales and marketing go up year-over-year. And I think part of that is the growth in sales, but they're also higher as a percent. So, can you tell us, what we should expect from those two operating expense lines going forward?
Cyril Wallace: Yes. First of all Sean, I appreciate the question. I'll turn it over to Doug to take this one.
Doug McCurdy: Good morning, Sean. The increase in SG&A is largely attributed to upfront investments in personnel and marketing as I mentioned in my remarks to support strategic initiatives and restore some operational momentum. Cash used this quarter was primarily due to delivered investment and inventory. We believe that the right set of steps to support improved cash flow performance in the second half of 2025. So we're focused on both delivery and handling and SG&A. And I would expect to see us continue to be disciplined and possible in that area as we move forward.
Sean McGowan: Okay. And then Doug a quick follow-up. When you said second quarter gross margin could be pressured do you mean down year-over-year or not as high as they might otherwise be?
Doug McCurdy: Yes. I think that was a comment that was in Cyril's remark. Our expectation on the gross margin side is that we may see some seasonal compression particularly in trade discounts or trade spend. There's some ordinary seasonality that you'll see and there's also some additional investment in the functional beverage launch as well.
Sean McGowan: Okay. Thank you.
Operator: Thank you. The next question comes from Will Abanduha [ph], Private Investor. Please go ahead, sir.
Unidentified Analyst: Good morning, Cyril. First off, welcome aboard. Congrats on a good quarter. Two quick questions. Can you guys provide any sort of kind of revenue guidance of what you're kind of targeting for the year? And then a follow-up on that do you have any time line to get the stock relisted on a major exchange?
Cyril Wallace: Hey, Will. First of all, I appreciate the question. No comment on the stock listing on the New York Stock Exchange. As it relates to -- sorry what was your first question again?
Unidentified Analyst: Yes. I mean do you have a revenue kind of guidance that you can provide?
Cyril Wallace: Doug, I'll turn that over to you on the revenue guidance.
Doug McCurdy: Yes, sure. As a general approach in the past and going forward, we haven't provided guidance. So we'll just no comment there. But the thing that we would guide is as we move forward we're very focused on growth and we're very focused on operating efficiency. And so what we would expect is to see continued focus on improving in both of those key areas.
Unidentified Analyst: Okay. Awesome. Appreciate it.
Operator: Thank you. At this point there are no further questions. I would now like to turn the call over to Cyril Wallace for closing remarks. Please go ahead.
Cyril Wallace: Okay. Great. Thank you, operator. I'd like to thank everyone for joining this morning's earnings call and extend our sincere appreciation to our employees, customers and shareholders for their continued support. We value your partnership and wish you all a great day. Thank you so much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.